Operator:
Shirish Jajodia : Hello, everyone, and good evening. I'm Shirish Jajodia, Corporate Treasurer and Head of Investor Relations at Strategy. I will be your moderator for Strategy's 2025 First Quarter Earnings Webinar. Before we proceed, I will read the safe harbor statement. Some of the information we provide during today's call regarding our future expectations, plans and prospects may constitute forward-looking statements. Actual results may differ materially from these forward-looking statements due to various important factors, including the risk factors discussed in our most recent 10-Q filed with the SEC and our 8-K filed on April 7, 2025. We assume no obligation to update these forward-looking statements, which speak only as of today. Also, during today's call, we will refer to certain non-GAAP financial measures. Reconciliations showing GAAP versus non-GAAP results are available in our earnings release and presentation, which were issued today and are available on our website at strategy.com. I would now like to welcome you all to today's webinar and let you know that we will be taking questions using the Q&A feature at the bottom of the screen. And you can submit your questions throughout the webinar and Michael, Phong, Andrew will answer the questions at the end of the session. Please be sure to provide your name and company's name when submitting your questions. I'll now walk you through the agenda for today's call. First, Phong Le will cover the business highlights for the first quarter of 2025. Second, Andrew Kang will cover the financial results for the first quarter. And then Michael Saylor will provide an end depth strategic review of our Bitcoin treasury strategy. And lastly, we will open it up to Q&A. With that, now I'll turn the call over to Phong Le, President and CEO of Strategy.
Phong Le: Thank you, Shirish. Hello, everyone. I'd like to welcome all of you to today's webinar. With just a few days to go, I'm excited to invite you all to Strategy World 2025. Next week, May 5 through 8 in Orlando, Florida. Shirish, you may want to -- thank you. Come meet our software customers, partners and employees, explore innovations in AI and BI and engage with global corporate and thought leaders shaping the future of Bitcoin for corporations. You can visit our website to register if you haven't already, and I look forward to seeing many of you in Orlando. Moving on to the Bitcoin highlights for Q1 2025. A strategy remains the largest corporate holder of Bitcoin in the world, now holding 553,555 bitcoins with a total bitcoin market value of $52 billion as of April 28. In the first 4 months of 2025, we acquired an additional 106,085 and bitcoin for a total purchase cost of $9.9 billion at an average price of approximately $93,600. In Q1 2025, Bitcoin's momentum accelerated meaningfully driven by a series of landmark government actions. Most notably, the Trump administration announced the establishment of a strategic Bitcoin reserve. This bold move marked the first time a sovereign government publicly recognized Bitcoin as a national reserve asset. In parallel, the administration's broader pro bitcoin regulatory states further legitimize the asset class and attracted heightened institutional interest, setting the stage for deeper integration of Bitcoin into the U.S. financial system. On the capital markets front, we have also made significant progress. In the first quarter of 2025 and quarter-to-date in Q2 2025, we raised $6.6 billion net proceeds through our at-the-market or ATM equity offering program and raised $2 billion through the issuance of a convertible note offering. We also raised $1.4 billion through our newly listed preferred stock strike and strength. We expect to continue issuing innovative fixed income securities and seek to enable our common stock to outperform Bitcoin via intelligent leverage. Strategy is added to its balance sheet in every single quarter since August 2020 across 60-plus announcements and 100% of our Bitcoin holdings remain fully unencumbered demonstrating our long-term conviction and unmatched consistency in executing our Bitcoin strategy. This makes us the most committed corporate holder of Bitcoin globally representing 2.6% of all Bitcoin in existence. As the chart shows, our pace of accumulation accelerated meaningfully over the past 2 quarters. reflecting both market opportunity and strong treasury operations execution. As the world's first and largest Bitcoin treasury company, we remain hyper focused on capital markets innovation and our Bitcoin operations to strategically accumulate more Bitcoin. We've now utilized $37.3 billion of capital to increase our Bitcoin holdings and drive shareholder value. That capital was acquired through 3 primary mechanisms. First, $10.6 billion of debt issuances of which $8.2 billion in aggregate principal is outstanding. And second, $1.4 billion in perpetual preferred equity through Strike and Strife reflecting investor demand for both yield and Bitcoin linked instruments. Third, $25.9 billion of Class A common stock issuances. And fourth, $836 million of cash flows from software operations. As we reflected in this quarter's capital markets activity, 2025 continues the momentum we built in late 2024, with $10 billion already raised year-to-date through a diversified mix of securities. This included $6.6 billion in equity and $3.4 billion in fixed income instruments, demonstrating the breadth of our investor support and the strength of our market access. These offerings reflect our ability to tap multiple capital sources efficiently and strategically. Q1 demonstrated that the $18.1 billion raised in Q4 wasn't a one-off. We're operating at a new baseline. Rather, it represents the foundation of our evolving and scalable capital strategy. In terms of the largest treasuries in the world, we've gone from virtually negligible to now the 13th largest in treasury compared to the S&P 500 universe entirely through our Bitcoin holdings, and we're growing fast. Over the next 2 to 4 years, we believe we have the potential to surpass many of the companies ahead of us on this list, continuing to scale our Bitcoin treasury with conviction and discipline. Five years ago, when we embarked on the Bitcoin journey, we were the only corporation with encouraging conviction to do so. Today, there are over 70 publicly listed companies globally holding over 700,000 bitcoin who are adopting our playbook. There are newer corporate entrants adopting bitcoin and some are recurring to coin stackers like us. We welcome all corporates to Bitcoin and are extremely proud to see Bitcoin treasury companies emerging in the U.S., Japan, India, France and other countries. We believe our unique attributes and track record of transparent Investor Relations conviction in our Bitcoin strategy, innovative offerings, high volatility, combined with the scale of our Bitcoin holdings will continue to differentiate us. Since we adopted our Bitcoin strategy in 2020, MicroStrategy stock has outperformed every major asset class in every S&P 500 company, appreciating 2,887% to date. To put that in perspective, Bitcoin itself is up 692%. The S&P 500 has risen just 65% over the same period. And while Navidea has been the top-performing S&P 500 stock during this period with an 874% gain, we've outperformed Navidea by more than 3x. It's not even close. If you look at the last 12 months, we've similarly outperformed all the largest companies as well as all of the key indices. And if you look at the last 3 months, when the broader mark when the broader macro markets witnessed the most volatility since 2020, we still managed to outperform the magnificent 7 and key indices. Our performance metrics speak to the uniqueness and strength of our position in the market. Since launching our Bitcoin strategy, MicroStrategy MSTR has not only outperformed cue itself, but every stock in the S&P 500. That kind of return doesn't happen by accident. That's the result of strategic focus, intelligent leverage and our disciplined execution. We're also 1 of the most heavily traded and closely watched equities in the market today. both in spot and in options markets. MSTR consistently ranks among the top across open interest, daily trading volume, trading volume as a percentage of market cap. This level of engagement reflects more than just price action as a sign of growing institutional interest, retail participation and the market's recognition of strategy as a capital market center of gravity for Bitcoin. Now I'll turn to our capital plan. In October of last year, we introduced the 2121 plan, a bold but disciplined framework to raise $21 billion in equity and $21 billion of fixed income capital. We designed it to be agile, scalable and responsive to market dynamics. Since then, we've reported having raised $20.9 billion in equity and $6.4 billion in fixed income capital, meaning we're 65% complete. Notably, 99% of the equity portion has been completed in the near 6 months. We believe the accelerated progress is a testament to the strength of our market access and the credibility we've built with all groups of investors who've demonstrated increasing demand for our securities. So what's next? Remember, our original inspiration from the Hitchhiker's Guide to the Galaxy, the answer to the ultimate question of life, the universe and everything. The number was 42 for our $42 billion capital plan. And given our success, we're now going to double down with the new plan, the 42-42 capital plan. That's $42 billion in equity and $42 billion in fixed income targeted through the end of 2027 and inclusive of our original $21 billion, $21 billion capital plan. This gives us the scale to pursue our strategy with conviction and the flexibility to continue to adapt across market cycles. So to that end, we're pleased to announce that today, we filed for a new $21 billion ATM program. Later in the presentation, Michael will share with you a framework for how we think about our securities and credit risk as it pertains to our Bitcoin strategy. including illustrative examples of how this framework would apply to the different types of securities we've offered, MSTR our convertible bonds, Strike and Strife. And we're excited about this opportunity to discuss the framework which we believe is helpful for understanding our capital financing decisions. Under the new 42-42 plan, we are 32% complete. That leaves us with around $57 billion of additional capital to be raised through the end of 2027. As we move forward, we'll focus more on the fixed income side of our plan through instruments like Strike, Strife, convertible notes, and potentially new structures we may explore over time. At the same time, we'll continue to utilize the equity ATM when conditions are favorable and when it represents an accretive and efficient option for our shareholders. The market has shown strong demand for instruments and we tend to continue tapping new pools of capital in a thoughtful and value-accretive manner while maintaining a disciplined leverage ratio between 20% and 30%, allowing us to responsibly scale while maximizing long-term value. We intend to remain highly efficient with our use of our overall capital. We have $185 million of total fixed annual obligations for interest and dividends, which we can cover using a fraction of our daily trading volume as new stock issuances. To put it in perspective, our ATM activity this year alone has raised $6.6 billion, and our obligations represent just 3% of the daily traded volume of our equity and less than 1% of the total equity we've raised in the last 12 months. As a result, we're comfortable raising additional fixed income capital to buy more Bitcoin without being restricted by available cash and cash flow from our software operations to service all of our interest and dividend obligations. Mike will explain later why the Strategy is highly accretive to our shareholders. We're tracking well ahead of our KPI targets for 2025. Year-to-date, we've achieved a 13.7% of the BTC yield, putting us well on pace to reach our full year target of 15%. The BTC yield reflects the bitcoin gain we've generated through our treasury operations. Our BTC gain is approximately 61,500 BTC year-to-date, representing a BTC dollar gain of $5.8 billion in the current -- at the current bitcoin price. Given our strong year-to-date performance and the favorable market environment, we're raising our KPI targets for 2025. We've raised our BTC yield target from 15% to 25% and reflecting confidence in our ability to create value for our shareholders. And at the same time, we're increasing our BTC dollar gain target from $10 billion to $15 billion. These new targets better reflect the scale of our strategy and the value we believe we can unlock through disciplined bitcoin acquisitions. We remain disciplined in the use of both the ATM and and other capital raising sources doing so in a way to achieve our BTC yield and BTC dollar gain targets. I'm now going to turn the call over to Andrew, who will discuss our financials for the quarter in further detail.
Andrew Kang: Thank you, Phong. I will begin with a quick review of the software results and then go into more detail on our Bitcoin results. In Q1, total software revenues were approximately $111 million, down 3.6% year-over-year. The lower product license revenues, along with support revenues in Q1 continues to be as expected, and our overall revenue trend continues to reflect the ongoing transition of our software business from on-prem to the cloud. . Our cloud results in Q1, subscription services revenues increased 62% year-over-year and now make up approximately 33% of total revenues, continuing our quarter-over-quarter double-digit growth. Our subscription billings also grew again by 38% in Q1 to $24.5 million. The decline in product license revenues and support revenues continue to be offset by growth in cloud, and we continue to see growth in demand for our cloud platform and anticipate this trend to continue and strengthen in the coming quarters. Lastly, cost of revenues were $34 million, up 13% compared to Q1 of last year. The increase was driven primarily by higher cloud hosting costs, which we expect to continue in future periods as a direct result of our growth in cloud. Moving on to Bitcoin. We adopted fair value accounting for Bitcoin Holdings on January 1 this year, which has fundamentally changed how we value our Bitcoin treasury asset. The left of this slide, we began the year with our Bitcoin holdings value just under $42 billion. On Jan 1, on adoption of the new rule, we recognized $17.9 billion to our beginning balance of retained earnings which was the difference between the carrying value on our books and the fair value based on bitcoin price as of 12/31. One fundamental difference now under fair value accounting is that our holdings are marked on the last day of every quarter, not throughout the quarter as before. Any new Bitcoin purchased during the quarter were initially held at the purchase price of those Bitcoins and our prior quarter and new quarter purchases are fair valued as of the last day of each quarter. In Q1, the price of Bitcoin declined from approximately $93,400 at the end of the year to roughly $82,400 at the end of Q1, resulting in a $4.9 billion unrealized fair value loss on our pre-Q1 holdings. We also purchased throughout the course of Q1, an additional 80,715 bitcoin at an average price of approximately $9 4,900, representing $7.7 billion of new purchases. On the last day of Q1 because the market price of bitcoin was approximately $83,400, these new purchases also reflected a fair value decline of about $1 billion. As a result, our overall Q1 unrealized fair market value loss was $5.9 billion, which flowed directly through our income statement. The next slide is an illustration on how fair value could impact the current quarter. This waterfall chart begins with our March 31 Bitcoin holdings on the left, valued at $43.5 billion. Since 3/31, we have seen a substantial recovery in bitcoin price, which has increased since the end of Q1. Using a bitcoin price of $95,000 as an example, the change in bitcoin price would reflect an illustrative $6.6 billion unrealized fair value gain on our bitcoin held at the end of the previous quarter. In Q2, so far, we have purchased an additional 25,370 bitcoin at an average price of $89,303, which represents a $2.3 billion investment. At the example price, the new Q2 purchases would reflect an increase of roughly $100 million in fair market value. In this illustration, our unrealized fair market value gain would be approximately $6.7 billion and the market value of our total bitcoin held today would reflect a fair value of approximately $52.6 billion. As Phong mentioned, Q1 was a milestone quarter for us with the eyes of 2 new innovative preferred equity offerings. Strike, our 8% convertible preferred is trading with an effective yield of roughly 9%. Since launch, Strike has delivered a 8.4% price return outperforming the median return of all products offered since 2015. Strike is trading with an average daily volume of roughly $33 million, which is nearly 80x the typical pref trading volumes, demonstrating strong institutional demand and a deepening market for this product, which has strengthened through a $21 billion ATM, institutional block trades and follow-on retail demand. Strife, our 10% fixed coupon perpetual preferred has shown even stronger liquidity and investor demand and has quickly emerged as a top-tier preferred instrument. With a price return of 7.5% since issuance, it has meaningfully outpaced the broader preferred market as well. Average daily volume for Strife has been $26 million, again, significantly higher than the peer set. When you compare the strong BTC risk and BTC credit profiles of these preps, there is tremendous unlock through the eventual recognition of the underlying BTC support of these instruments and the potential changes in the rate environment in the future. Both Strike and Strife stand out as 1 of the most liquid and high-performing preferred stocks issued in the last decade. They serve to provide innovative securities to institutional investors, insurance companies, at coin Longs, retail investors as well as the broader fixed income universe. This slide highlights why we believe Strike and Strife were structurally superior to traditional debt. These instruments provide us with permanent capital with no maturity, no refinancing risk no restrictive covenants and no collateral requirements that are also publicly listed giving us flexibility to tap follow-on capital as needed, both institutionally and for retail investors. In contrast, traditional bonds comes with fixed maturities, repayment or refinancing risk and often require covenants and collateral over a 30-year period that can lead to significant leakage from refinancing costs and added operational complexity. Our preferred equity allows us to maintain leverage without repayment risk while providing durability and scalability. Bitcoin is a 100-plus year asset. These instruments provide 100-plus year exposure. In Q1, we issued a new $2.0 billion convertible note, which was well received by the market. The notes due March 2030, have a 0% coupon and price with a 35% conversion premium reflecting a conversion price of $433 per share. We also redeemed our 2027 convertible notes in Q1, and our nearest debt maturity is now not until late 2028. The remainder of our scheduled debt maturities are evenly spread out through 2032 with a weighted average scheduled debt maturity of approximately 4.9 years. We now have $8.2 billion of total unsecured convertible debt outstanding with a low blended interest rate of approximately 0.42%. Since issuance, nearly all of our converts have increased in value significantly. On a blended basis, convertible bonds are up 62%, even outperforming Bitcoin itself. What is even more striking and Strategy's converts in comparison to other traditional securities such as U.S. high-yield and investment-grade corporates and other U.S. convertible bonds. The traditional convert market has historically offered investors such as funds access to volatility across different industries and asset classes. The innovation we introduced through our converts still provide volatility, but our converts offer increased volatility through bitcoin exposure. The differentiation of our converts from others is the credit coverage that we offer, which Michael will discuss in more detail shortly. Strategy was the largest issue issuer of converts in 2024, and our success can be attributed to expanding the investor base of this historically closed market. In addition to traditional hedge funds, we have seen increasing participation from long-only investors and now with access for retail investors through vehicles like the VMAX ETF, the Bitcoin Corporate Treasury convertible bond ETF. Our outstanding debt and preferred securities, including converts, Strike and Strife are significantly supported by the value of our Bitcoin reserves and even more so by the scale of our common equity market value. As of April 28, we have $109 billion in equity market cap. And so we have about $100 billion in equity cushion and over $43 billion in Bitcoin cushion over our fixed income liabilities. The point is that we believe our capital structure is extremely well qualified. This chart gives you a simple way to think about our capital stack across both seniority and volatility. In the far right, you'll see MSTR equity. That's your full exposure to our high-performance Bitcoin Strategy. Then there's Strike, our convertible preferred. That's a step-up in seniority and it pays an 8% dividend but it also gives investors some upside through equity conversion to MSTR. Above that is Strife, our 10% perpetual preferred. It's nonconvertible, noncallable and really meant for the kind of capital that wants long-dated fixed income exposure to our balance sheet without the volatility of the equity. And at the top, we've got our convertible notes, senior instruments were capped upside but higher protection in the capital structure. So what you're seeing here is a full spectrum of choices, whether someone wants equity upside, yield with optionality or pure senior exposure, that's what makes our overall capital structure so scalable. We are building a platform where investors can pick their spot on the risk-return curve, and we can raise capital intelligently from each part of that curve. Thank you for your time today and for your continued support of strategy. I'll now turn the call over to Michael for his remarks.
Michael Saylor: Okay. I want to thank everybody for being with us today. And I'm going to start with an observation. Strategy is the world's most widely held bitcoin security. And you could think of it as the most widely held bitcoin proxy. In fact, substantially more widely held than any of the spot ETFs in the world. we did some review of that in the past few months, and we found that there are 13,000 institutions that have accounts holding MSTR. And these institutions are not just asset managers, a lot of pension funds, insurance companies and even sovereign wealth funds. We traced 814,000 retail accounts. And we have 500-plus ETFs and funds and indices that were embedded in like the NASDAQ 100, the Russell 1000, the MSCI index. Some of these are extraordinary. For example, the Norway Sovereign Wealth Fund, it's benefiting every single citizen of Norway. We've traced our holdings to insurance companies that have millions of beneficiaries and pension funds that have many, many millions of beneficiaries. So all told, our best estimate is 55 million beneficiaries were either indirect holders of MSTR or their beneficiaries of the institutions that are invested in MSTR. We can go to the next slide. I'd like to talk a bit about our BTC models. And you're probably familiar with BTC Yield and BTC gain because we've talked about those a lot over the past 6 months. But in fact, I get lots of questions about how the company is going to continue to outperform Bitcoin. How are we going to continue to grow the stock, what is the basis for the premium to NAV. And in and of themselves, yield and gain only tell you part of the story. If you want to understand how we create shareholder value, we have to look out much more than just on the current period. We're looking out a decade, and we're considering the consequences of all of our capital markets transactions. And so we internally use a variety of these BTC metrics, and I'm sharing them with you today. And I'm going to explain how we use them, how we think about them. Some of them are valuation metrics, some of them are credit metrics. We've got some forecast metrics. If we go to the next slide, like volatility and ARR. And then we have treasury metrics where we're calculating the value of our treasury, and we have metrics that allow us to assess how accretive any particular trade or any particular transaction is at any point in time. We even have some risk metrics. We have not just credit risk metrics for the credit instruments. But we have BTC risk metrics where we assess the hurdle rates and the breakeven points of our various capital markets transactions. So let's dive right in. First of all, the degree to which any capital markets transaction is accretive and going to create shareholder value as a function of some outlook or expectations. One thing that's really important is what do you think about BTC? Do you think that Bitcoin is going to go up 0% a year forever. And if you do, we call that a skeptic. Do you think that Bitcoin is going to track the S&P Index, about 10% a year or so on average. We call that a trader. Do you think that Bitcoin looks like a magnificent 7 stock or a digital -- a dominant digital monitoring network, a Google, Microsoft and Amazon. Those normally have growth rates of 20%. We call that an investor, a tech investor, if you will. And then do you believe that Bitcoin is destined to demonetize lots of other assets as digital capital, that makes you a maximalist. My long-term forecast personally that I shared last July in Nashville was that I thought bitcoin was going to go up 29% ARR on average for the next 21 years. So you can see my forecast over the next 21 years, is it about a maximum forecast on average for a long period. If you are more aggressive than that and in the near term, especially over the next 5 years or 10 years, you might have a shorter time horizon. Or you might just think that the base case is conservative and you might have a more bullish case. You might be a double maxi and think a 40% gain is coming or even a triple maxi think of 50% a year ARR as possible. So just keep those numbers in mind as we do this analysis because the important takeaway is your view of the equity and the credit instruments as an investor, will be a function of your view of BTC. So first point to be made, why do people want to hold MSTR. What drives the premium to NAV, what creates the magnetic appeal or the gravitational traction of this asset? Well, 1 thing is the volatility. And we have a volatility, which is higher than BTC. It is also higher than any of the S&P 500. When you have that kind of volatility, you can generate yield by simply selling that volatility. We've quantified that value of that volatility in a metric we call the MSTR rate. Think of it as the simple annualized yield you can generate by selling at the market call options with a 30-day to expiry. If you just keep rolling those call options and keep selling them all the time, you generate 103% simple annualized yield on MSTR, that's substantially higher than NVIDIA or IBIT and is substantially higher than the NASDAQ 100. You can look at it as, again, it's like the magnetic attraction to capital. People might very well buy MSTR to sell that ball, not even knowing what BTC is, not even knowing what MSTR is, all they know is they want that 103%. Now another point that I'll make is, if you're in a taxable account, you're getting a 103% yield that's taxable. And so your after-tax is going to be 70%, 60%, whatever that is. But if you're in a tax-free account or a tax advantaged account or could be a retirement account or if you're an offshore val trader, if you're sitting in Dubai or you're sitting in a 0 income tax environment and you reinvest this rate, you can get to 200% or more in the live yield. So of course, that makes our security, MSTR globally interesting to traders and very interesting to people that would simply like to sell wall. And another point that I'd make is that when you're considering an equity to sell a wall on, what you'd like is volatility. You would also like liquidity, you would also like durability, you want 103 vol with $5 billion of equity trading every day, and you want it to continue for a decade. And you want credibility. So think volatility, liquidity, durability, credibility and now think about 3 classes of companies. weak struggling companies occasionally are volatile, but their underlying operating business is losing money. So they're not durable. So if you have a volatile business and you're losing cash, it's interesting to trade for a while, but the trade doesn't stick around. And on the other hand, strong companies, well-run companies, the Microsofts of the world, they actually have a management team that engages in very decisive actions to strip the volatility away from the balance sheet and strip the volatility away from the P&L. So the primary philosophy and dynamic of a well-run company is to get rid of the volatility. And if you have a mean company, a mean stock of sorts or a random company, you might get massive volatility either for a good reason or a bad reason. But the management team normally doesn't have credibility and durability. How are you going to keep it for a decade. And so you see what we have done is we have created a volatility engine, when you take volatility, when you take a fire and you cultivate it, it becomes a furnace. And if you're smart, you make it a reactor and it becomes a power plant. And of course, what we're doing is creating a crypto reactor that could run for a long, long period of time. So that rate, combined with the credibility of the management team and the transparency and the durability plus that actually drives and attracts a lot of capital to MSTR Next. Now let's talk about equity analytics. On any given day, we consider how are we going to raise money? And how do we generate yield? How do we generate gain? How do we generate shareholder value. So if we were to sell $100 million of MSTR equity at a multiple to NAV of 2, then generally, what happens is we capture a BTC dollar gain of half of that. The spread is 50%. We capture $50 million of that is the gain. That is the accretive component to the existing common stock shareholders. That converts to a BTC gain of 526 bitcoin. That converts into a yield that is dividing our BTC gain by our entire stack of Bitcoin works out to 9 basis points. So we're capturing a yield by selling the equity and buying the bitcoin. When we do that with convertible notes, we do it at a 0 coupon up 40% in this model, and we're just using that to make the math simple. The same transaction with converts would result in a 12 basis point yield, a $64 million BTC dollar gain, a 64% spread, if you will, and we get not 526 bitcoin but 676. If we do the same thing with strike given our general model for strike, which is an 8% dividend and 150% conversion premium, now you're saying we're getting to a 15 basis point yield, 842 bitcoin, and $80 million gain, that's an 80% spread. So you see the leverage is getting greater. That 842 bitcoin is achieved without dilution to the common stock. So all of the capital, all of the investment income or the capital gain, if you will, from the 842 bitcoin forever, will accrue to the existing shareholders, the existing common shareholders and not to the new Strike shareholders. So that's how we're creating an upside opportunity. Now when we go to Strife. Strife is the simplest model because we're selling $100 million of a preferred. We're not diluted in the common stock at all. So we've got a $100 million gain of Bitcoin without any share dilution works out to 1,053 bitcoin, and that's a 19 basis point yield. So there you go, you see as we go to more debt-like instruments, we're generating less dilution. They are more accretive, and they generate a higher BTC dollar gain. That we call BTC KPIs. We report that upfront. We can immediately calculate these numbers, and you're seeing them generally week by week. Now let's go to the next part of the analysis. Think about the next 10 years. When we sell that $100 million of equity, we capture the $50 million gain upfront, okay, that's great. That is shareholder value created. But in fact, the question is what happens over the next 10 years? And we used 10 years as a long time frame. Most investors don't really have patients a long time or forever is about 10 years. So you'll see a lot of analysis here that's about 10-year analytics. What you can see here is if you're a maximalist like me and like many of our common stock shareholders are maximalist, and you crank in a 30% BTC ARR forecast. That $100 million of capital grows to be $1.379 billion in year 10. So now what has happened Well, we've created $50 million in gain on time, but we've actually created a lot of investment income. And half of that investment income is attributable to the equity dilution. And so the new shareholders are benefiting from it. But the other half of the investment income is captured by the common stock shareholders that existed before the transaction. So that's what we call BTC dollar income. BTC dollar income is the value that's created for the common stock shareholders of MSTR by having sold the $100 million of equity. And if you ask the question, well, how much value is created for the shareholders over the course of the decade. Well, it works out to be the gain plus the dollar income. And so you end up with value of $689 million. So we call it a BTC dollar value, $689 million. Now you can take the ratio of the value created to the capital raised, and that works out to what we call BTC torque. That's sort of a return on capital measure. What is our return on capital? 6.9x. So why is that valuable? Well, if you want to outperform BTC, then you're going to need to find a way to get leverage. So that torque is leverage that allows the MSTR equity to outperform BTC over time. If you want to drive up the price of -- the value of the stock or if you want to drive up the MSTR stock, you have to create value. And you can see right here, if we create $689 million of either gains or incremental investment income without dilution. That is the value creation. So we're creating $6.9 of value for every dollar of capital we raise, when we do this kind of transaction. Now there's another metric you can calculate, which is a BTC multiple. And BTC multiple in this case is equal to the total BTC NAV, like $1.379 billion over the equity issued. And you can see that the equity was $690 million or so. So in this case -- and this makes total common sense, right? We started with an we sold $100 million of equity. Half of it was a gain. The investment income attributable to that gained amount is half and the investment income that's attributable to the equity dilution is the other half. Now I think that if you look at this BTC multiple, that will tend to set the floor for NAV. It's not the ceiling. It's not necessarily the average. There are about a dozen other factors that drive a premium to BTC, and they drive the M-NAV north, 1 of them in isolation is our equity sales or equity financing here. And so focus upon the 2 BTC multiple and think that if we do a lot of capital markets activity around a 2 multiple that will tend to drive the M-NAV toward or above or keep it above 2. And the degree of impact it has, of course, is a function of how fast we raise capital. and the amount of capital we raise relative to the existing Bitcoin NAV. Now there are 3 possible objectives of our capital markets activity. The first and the principal objective is drive up the price of MSTR; second, outperform BTC; third, increase the M-NAV. And if you think about it, you said, well, which 1 do you want the most? Well, you want the price of MSTR to be maximized, but the other 2 are consistent with it? And how are we going to do these things? Well, it's a function of raising capital at a high spread such that we create shareholder value at the fastest possible rate. So bear in mind, this charts the baseline. Now let's go ahead and look at what happens if we substitute convertible bonds. Well, the converts have 40% leverage in them, And so what you can see here is that our torque goes up to 8.9%. So there's a lot more torque on this, almost $9 of value creation for every dollar of capital raise or $9 a BTC dollar value for every dollar capital raised. And you see the BTC multiple moves to 2.8. So that's going to tend to drive up or support a much higher M-NAV. It's also going to tend to create more BTC dollar income for the common stock shareholders. Now let's go to what happens if we go to Strike. At Strike, you can see we have a higher premium. And so now the torque is even increasing. The return on capital looks even more impressive. Of course, 150% premium ought to do that. And what you can see is the expected equity dilution, and this is the theoretical equity dilution is much lower the BTC multiple goes to 4, you could imagine that tons of financing of strike will tend to justify an MNAV of more than 4 if we can change this to be a substantial mix to our capital raising on an isolated basis. But now there are a couple of other dynamics here. One point I make is this is really on an isolated basis, and it's a theoretical calculation because there's a practical matter, the $340 million of equity you see in year 10 is sitting in the Strike instrument. And if Strike is generating a dividend, it's quite likely that people that buy Strike will never want to convert Strike into equity. They have the right to do so, but they may not do it. So this is an example of a theoretical equity dilution, but practically speaking, you're getting a lot of leverage from this instrument, because you're attracting a new class of investors and they don't want to actually convert this to pure equity if they're buying it in order to hold it for the liquidation preference and the dividend. But you can see torque is improving, multiples improving, and we're generating $10 of BTC dollar value for every dollar of capital that we raise. Now let's talk about Strife. So the torque for Strife increases to 12.8. You see a lot of toric because at the end of the 10 years, you've only issued $100 million of equity. That's equity that we assume we issued to pay the dividends. We've got $1.37 billion of NAV. What's interesting here is you see the BTC multiple goes to 13.8. So Strife is incredibly leveraging to the common stock shareholders. and it generates potentially extremely high return on asset and extremely high return on equity. Now let's look at broader cases here. Coming back to my chart, you can see that when we do these transactions, only a small part of the story is the BTC gain, right, $50 million worth of gain immediately, but we're looking at $639 million as the share of BTC of investment income attributable to the shareholders without expected dilution. So the real BTC dollar value, $689 million, of which less than 10% of it is the gain upfront. Most of the leverage you can see is really coming on the back end of the transaction. And you can see, as we go to the right, you're getting to a substantially larger value creation, $800 million, $1 billion, $1.3 billion. That's all assuming a 10-year time horizon, 30% ARR and 2x NAV. Now let's look at other cases. I'm going to show you BTC torque for 1x NAV. If we were to sell equity at 1x NAV, then you can see there isn't any torque right? You're basically selling the equity at the M-NAV you're not really creating shareholder value on an isolated basis. That is the first order result of the capital market transaction is simply to expand the equity capital of the company. By the way, that's not necessarily about idea. You might be expanding the equity capital of the company, making the other credit instruments more creditworthy. You might increase liquidity, you might actually increase volatility because of name recognition and for a lot of other second order reasons. But on an isolated basis, you're not generating torque here. If you look at the convertible notes, you generate a little bit of torque. You can still generate some torque. And if you're a maximizer you expect 30% ARR, you're going to generate a 3.9 torque, $4 for every dollar capital rate. So you can generate shareholder value using convertible financing if you are very bullish on Bitcoin. When you go to Strike, it becomes easier. For Strike, you can see you're generating a lot of shareholder value here, even just as a trader with a more skeptical outlook and the torque increases a bit faster. But of course, the real strategy, if you've got a low M-NAV, to get the engine going is you're selling Strife because Strife is generating extreme torque. Strife is generating 13x, $13 for every $1 of capital raise, even with M-NAV of 1. And so you see the strike numbers go from 1.6% as a trader all way up to 56x if you're a triple maxi. So that's our 1-MNAV chart. Let's look at it for other multiples. Here's 2 M-NAV. Now what you see here is when you get to 2x M-NAV, you can generate pretty decent torque with the equity $7 for every dollar capital raised. You can generate a lot more with the converts you can generate a ton with Strike. And then Strife, what you'll notice is the torque is exactly the same. It is invariant to the M-NAV, right? It's just -- it's a pure fixed income instrument. Now let's go to 3x MNAV. Now you see it 3x , you're starting to generate $9 for every $1 of capital raised over the 10 years, if you're a maximalist. And of course, that really improves the returns to convertible notes and Strike dramatically. And you know what doesn't get any better Strife, right? Strife torque is exactly the same regardless of what the MNAV is. But you see that it's getting easy to generate torque with MSTR and convertible notes as the M-NAV increases. Now let's take a look at BTC multiple. This is also instructive. So you're sitting with a multiple of one, our BTC NAV is equal to your BTC equity. And what you can see is it doesn't really matter what your outlook is for BTC, you're [indiscernible]. And with converts, its 1.4. And with strike, it's going to -- there is a little bit of sensitivity. You can get up to a 2.3 multiple to 2.4. you can see when MNAV is pretty low. You have to go to Strike or to Strife, but now look at strife, look at the BTC multiples for that. You're going from 1 to 57. And if you're a bitcoin maximalists and you think you're going to get 30% ARR, you're getting 13.8 multiple. You could imagine driving the MNAV up from 2 to 3 to 4 to 5 to 6 using Strife type financing even when the MNAV is 1, right? The M-NAV could be one, but the issue is how much capital do you have, how much Bitcoin do you have that's collateral? Because if you have a lot of bitcoin that serves as collateral and you can sell a lot of Strife or other kinds of currency swaps or fixed income instruments, you're going to actually put leverage back into the capital structure and you're going to drive that MNAV back up. And of course, you're going to drive outperformance against BTC as well. Let's look at 2. When M-NAV goes to 2. Well, now, you can see the equities pretty -- it's pretty predictable to x no matter what your BTC forecast is. and Strife is pretty predictable as well, but the convertible notes start to become more effective and Strike becomes a lot more effective when you're doing that capital raising at 2. And at 3, now you see convertible financing at 3, and you might very well put a floor of 4, 5 M-NAV underneath the stock and with Strike you're getting to numbers like 4, 5, 6 with Strife, of course, Strife doesn't really care. So this gives you a sense of the sensitivities of BTC torque and BTC multiples to MNAVs. Now let's try to chart it. We've got a yield curve, and I'm showing you the BTC yield curve. And on 1 side of the yield curve is Strife. And what you can see is I've created the yield curves for various MNAVs ranging from 1 to 2 to 3 to 4 to 5. So when the M-NAV is on you've got a very steep yield curve. And you can see here that you're getting max yield Strife and some would Strike and then you're getting a bit with the converts I mean they all work, and then you see the equity isn't generating any BTC yield. But as the MNAV increases, the yield curve flattens. And of course, you can see at an M-NAV of 2, you're getting decent healthy yield across all parts of the yield curve. And as the MNAV increases and it flattens then you can see the yields on the equity and the convertible equity instruments start to approach the yields from the hard -- from Strike and from Strife. And this is important to keep in mind. Let me convert that to spreads for you. Spread is the percentage of the capital we raise that results in a gain to the shareholders. That is how much of the capital is an accretion. If I've got a spread, I've got an M-NAV of 5. That means when I sell $100 million worth of equity, $80 million is the value of the gain. And so our shareholders are capturing 80% of that capital, right? It's 90% spread. So you can see here that Strife is 100% spread instrument. Strike generates spreads anywhere from 60% to 92% based upon the MNAVs. The converts will generate spreads from 29% to 86%. And of course, MSTR if the MNAV is on, it generates no spread. -- when -- but when the M-NAV is 2, it's 50% spread. There's a pretty big difference between 2 and 1, massive difference. When you get to 3, it's 67% spread, and that is 2/3 of all the capital that you raised is again generating yield for the shareholders. And that yield is what allows us to outperform. Why don't we go to the next slide. So you're asking the question probably, well, this is all well and fine. If I'm selling these fixed income instruments, I'm getting a higher yield, I'm generating a higher spread, but what's the risk? You've got an 8% coupon or dividend on Strike. You've got a 10% dividend on Strife. So we think about what is the hurdle rate that we have to overcome in order to avoid missing our numbers or in this case, if I report that we generated 100 spread on Strife. And we show you BTC gain equal to $100 million. Well, under what circumstances would that not be true in a decade. And the answer is as long as BTC ARR is north of 7.2%, then that gain holds. So in essence, the hurdle rate is 7.2% for Strife. The hurdle rate for Strike is 6.1%. The hurdle rate for the converts is 2%. And the hurdle rate for the equity intuitively, this should not be surprising, is 0% as long as Bitcoin is appreciating more than 0%, then there will have been a gain and a yield on an equity transaction. And so generally, most of our equity investors expect BTC to appreciate more than 7.2%. And as I said, the maximalists thinks 30%. So generally, if you believe BTC is going up 10%, 20%, 30%, most of the financing we're doing is comfortably above these hurdle rates, which means that when we say we generated a BTC yield of some percentage or a BTC gain of something I think you can be comfortable that it's a reasonable metric for you to take into account. Now let's think about breakevens. Under what circumstances would it be a mistake to have done in these financings. Or another way to say it is, are there any circumstances under which we don't create shareholder value? I'm using a 10-year time frame. And so I'm going to show you some numbers. If we sell equity at 1x M-NAV and the price of BTC is 95,000, the breakeven price is 95,000 in 10 years. and the BTC ARR or the breakeven rate is 0%. That's kind of common sense. Now what if I sell it at M-NAV of 2. Well, the breakeven price drops to 47,000, Bitcoin could decrease 6% a year for a decade, and you would still be better off as a common stock shareholder with us having done that transaction. So in fact, when we're selling equity at M-NAVs of 2, 3, 4, 5, we're derisking the company. We're not increasing the risk. And so you can see here, I've got the breakeven prices and the breakeven rates for the equity for the converts. I've got it for Strike, I've got it for Strife -- kind of a bit of a surprise, but we sell a lot of strife. We attach a 10% dividend to it, but it turns out that even if Bitcoin goes up 0% a year, we're still breaking even over the 10 years. So we're not actually taking, I think, as much risk as it might be perceived by a traditional investor who doesn't really think hard about what's going on here. Let me show you some pictures to make this easier. This is a breakeven price for equity over the 10 years, and what you can see is that if you thought that Bitcoin was going to go down to $65,000 a coin over 10 years and you had a chance to sell it at 2x MNAV, you should do it. right? Whenever a BTC treasury company, a BTC company is selling at 2, 3, 4, 5x M-NAV they're derisking the entire value proposition for their investors. They're not increasing risk at all. And you can see, if you get a chance to actually sell equity at 5x M-NAV Bitcoin could crash to $20,000 a coin and you would have created shareholder value having done it over a decade. Let's go to the next slide. This shows that same breakeven price for convertible notes. And as you can see, it's really -- it's a lot less risky than you might think it is. I mean you're staring at the numbers, Bitcoin can literally go down and you would have wanted to have done this. And this is on an isolated basis, too. That is to say, we're just isolating this transaction. We're not considering the second to third order benefits of having raised billions of dollars of capital. If you raise extra capital, you get more liquidity, you might get more volatility, the ball will go up, people will come -- it will increase the MSTR rate, it will attract new capital, et cetera. So -- there's a lot of integrated benefits from this. But on an isolated basis, there's the breakeven price. Let's go to the next. CSC with Strike. The breakeven price is a function of M-NAV and it's a lot less correlated than the equity is, but you can see the higher the M-NAV, the less risk there is. And the truth is when you're doing a transaction like this, it's kind of beneficial to you under most circumstances that derisks the balance sheet. Next. And of course, Strike, this is very simple, 85,000, 85,000, right? It doesn't matter what the M-NAV is, doesn't -- and you can figure out that if you think that BTC is going up in value, then -- probably this is a good idea if it's going down, it's probably not a great idea. Let's go to the next. So now I'm going to talk about the $100 billion question, which is why does MSTR trade at a multiple to BTC NAV? And there's a lot of misconceptions about this and people -- you hear all sorts of things people think they don't really understand why. And I think I'd like to share some of my observations as to why. First of all, MSTR, the security has a compliance advantage over BTC, the commodity or BTC spot ETFs for many investors. Many investors either they have their money locked up in funds where they're not allowed by the trustee or the custodian to buy there are many wealth managers that won't let you buy the ETFs. There are countries like in the U.K., where there are examples where they would let you buy MSTR but you couldn't buy BTC. There are places -- there are many brokers, they will let you buy MSTR. They won't let you buy the BTC spot ETF. So when the security has a compliance advantage, then there are pools of capital that are going to buy it because their choice is to not get any BTC exposure or to do it through MSTR that creates a premium to M-NAV. The second point, MSTR is a credit advantage to BTC. If I have a security trading on the NASDAQ that's deeply liquid I could borrow against it by a margin loan, maybe I get a SOFR plus 100 basis point loan. That means that I have a lot of capital, and now it's liquid. I can borrow against it from a big bank that I trust. I can't borrow at silver plus 100 basis points against BTC from by Morgan Stanley or JPMorgan or Bank of America or fill in the name of a big bulge bracket bank. So I can't get margin loans on BTC at all. And in most cases, you can't get a margin loan against BTC spot ETFs. It's very, very hard to find people that will extend margin credit. So this impacts the market in 2 ways. One, I could buy a bunch of MSTR and hold it forever and just live off of loans that I take against it, wallet appreciates. And that's a nice strategy. The other way it impacts is if I had a portfolio with fill in the blank, if I had $100 million of equities, I could buy $1 million of MSTR borrowing the money from my prime broker with no cash down. So people can buy and leverage into a company that has a credit advantage and then they can borrow against it and margin it. And so you have to ask the question. If you live in a neighborhood and the houses on the left side of the street are eligible for Fannie Mae or Freddie Mac mortgages and the houses on the right side of the street, you have to pay cash for and you can't put a mortgage on. All things being equal, if the 2 houses are identical on either side of the street, which house is going to have the higher price, I don't think it's complicated to figure out that if I can borrow the money to buy the house on the left side of the street, I'll pay more for that house because there's no money down and there's 20% deposit. And if I have to come up with cash to buy the house on the right side of the street, I'm going to offer less as a cash buyer because it takes me 20 extra years in my life to come up with the cash. I mean it's not complicated, right? It's financeable. And BTC is not really being financed. I don't know of any major bank in the world that will finance BTC. And it's very, very difficult to find anybody that will finance BTC spot ETFs. So let's go to the third point. MSTR has a higher volatility than BTC. And we talked about it. At Bitcoin is trading with a wall of 50, we'll often times be 80. If it's 60, we might be 90. That results in a higher MSTR rate than, say, the IBIT rate, that means that you have a larger, deeper, richer options market. Why would I want to accept 60% when I could get 100%, right? I mean it's very simple apples-to-apples thing, So the volatility drives the options market drives the yields, attracts capital. The next point I'll make is that the options they have that higher simple annualized interest rate for those selling wall, and that makes it possible to create ETF instruments like MSTY and IMST and those ETFs, they basically are selling the wall of MSTR. And they have very, very high annualized dividend yields. So for a typical investor that wants to capture 100%, 150%, 200% dividend yield by selling them all, they don't want to -- it's difficult to trade in the options market. And so maybe they just buy MSTY or IMST. That makes it easier for investors to monetize that volatility. How popular is this? Well, MSTY today look like it had $3.1 billion or $3.2 billion of AUM in it. and IMST has raised something like $40 million of capital in a few weeks, a week or 2 weeks or something not that long. And so these are attracting capital flows when they -- and they're attracting capital that wants to monetize that volatility, and they're part of our emerging ecosystem. And so why MSTR because we're the most liquid, we're the most volatile, we're the most durable and we're the most credible place to get that. So our equity is becoming volatile liquid collateral for traders. And that creates a demand for the equity, that drives up the price of the equity as these instruments are delta hedged or as people buy the underlying equity so they can sell the cover calls. My next point I'll make is that our convertible bonds, they attract capital from a new class of arbitrages and hedge funds that otherwise they wouldn't buy BTC. And otherwise, they wouldn't buy BTC, spot ETFs. So if you're unique, you've got a differentiator, and we're an operating company, we can issue convertible bonds. A spot ETF cannot. And there isn't any comparable type instrument on top of a BTC commodity. That takes me to my next point, which is BMAX, which is another ETF that was launched it provides investors with a very convenient way to access MSTR converts. So most investors if you're not QIB or 144A certified or compliant, you can't just buy the convertible bonds, they're over-the-counter traded but you could buy BMAX and BMAX buys -- it's like 80% or something exposed to MSTR convertible bonds. So that's a unique characteristic of MSR. Again, the uniqueness, the opportunity is a differentiator. MSTR the security is included in QQQ MSCI and crypto indices. And as we get built into all these ETFs, that drives passive capital flow. And so on a day when the NASDAQ 100 is surging up 2%, there's a lot of capital that's going to go into the risk on trade, it's going to go into Q that will find its way to us. That is an advantage over underlying BTC. The BTC ETFs and BTC itself, they're not in the NASDAQ index. And so if you're wondering why would there be more demand for our stock because we're a security and because we do get index like this. The next point I'm making is that the MSTR brand is recognized worldwide. And so our brand recognition and our scale, they drive superior investor interest. It's very common, and it's very interesting to note, if you combine this with the next point, many investors, they're obligated to invest in securities or their biased towards investing in securities because the history of commodities is not good. right? The only commodity that you could ever invest in over the long term is gold and gold is considered to be kind of a slow debt asset. So most investors -- the great majority of their money is made investing in securities. So when I'm speaking at investor conferences, and I'm telling everybody how great Bitcoin is, and I'm giving them 100 reasons why Bitcoin is great. It's not uncommon that they say, "Well, I decided to buy your stock. I don't have to ask them. They're like, "Well, I get it, the bitcoin is great, but my prime broker doesn't handle bitcoin. And I just want to buy the security, it's quick, easy, it's marginable, I can buy it in 15 seconds. And people can I was like, why did Domino's Pizza get successful. Domino's Pizza was successful because people like pizza and because anywhere in the country, you could pick up the phone, call it operate and say, give me Domino's and say, "Hey, send a pizza, and you know that there's a Domino's pizza somewhere close to you. And it's like the brand is weaker for the next 100 pizza companies. Maybe their pizza is better, but I just don't know who's in the place I'm traveling to. So it's just like why do people buy Diet Coke I go to a restaurant, and I ask for some other kind of coke, they don't have it. And then I ask for it, whatever, they don't have it, and I get frustrated and after I get beat down because I don't have it, I think I'm just going to ask for Diet Coke because I know there's a 95% chance that you're going to have it. So you're an investor, you have a lot of money. You don't have a lot of attention span. What is this bitcoin thing, what's the stock I can buy micro strategy or strategy. I see that on the screen. The brand does matter. It makes things easier. If I'm going to buy the third best or the fourth best or the fifth best I got to research it. No one's heard of it before. There's a lot of impedance. And so with that, you see the next point I'll make is that MSTR represents the strongest BTC exposure in the strongest capital market. A lot of people want to buy a stock in the United States on the NASDAQ and the New York Stock Exchange. They trust it. And if you're looking for BTC exposure, give me the biggest and give me it in the safest place, it's very simple. The last 3 points I make on this NAV thing is that Strike is a unique security, it's a lot more leverage than equity. It's a lot more leverage than a convertible bond. Again, as I pointed out, it's quite possible we'll sell -- we could sell a lot of Strike billions and billions of dollars of it that's backed by a lot of equity. And the equity never -- the conversion rate never takes place. because people don't choose to convert to common equity. And so you're creating a lot of leverage when you finance with Strike. And you're acquiring a new class of investors that maybe would be afraid to invest in common equity because it's too much of a roller coaster. By the way, there a lot of people who might like Bitcoin and they're afraid to invest in a spot ETF because what they want is kind of like bitcoin with guardrails and -- or a bitcoin with the downside insurance policy. And Strike looks more like something with guardrails and then just buying the straight spot ETF that gives you pure bitcoin wall. Strife, another example of the unique fixed income security, it attracts new types of capital. It's a perpetual dividend. There's no one offering a 10% dividend at par forever, it's very uncommon to see that. I've never seen that in any other security. And it's also, as Andrew pointed out, these things are high-performing, but they're very liquid. And the fact that they're high-performing and liquid is an appeal to an investor, and they draw a new capital. And as capital flows into strike and strive, that's extremely accretive and leveraging for the performance of the equity. If you study banks, you notice the #1 strategy of most banks in order to create leverage for the common stock is they issue preferred stock. It's a safe way to do it. It's mezzanine capital, mezzanine equity, if you will, And so you could say we're doing something innovative, but we're also lifting a page from the book of conventional banking by putting in place this mezzanine capital structure. And if you were to ask any bank, why do you do it? The answer is it's good for our common stock. It increases the yield, the dividend on the common stock without creating risk on the balance sheet. The last point I make here is that we have the potential to generate BTC yield in perpetuity via fixed income securities. -- the mNAV could go to 0, we can still generate yield by selling triselling strife, selling other corporate bonds, selling any fixed income instrument. And we also can scale up the sales of those things. In essence, if we're selling something 10x over collateralized by BTC, we could basically sell preferred instruments or equal to 10% of the capital structure. And if bitcoin goes up, we just keep scaling up the preferred instrument in the same way. So this is an opportunity that it isn't like it's 1 and done. It's like we could reasonably be doing this forever, because there's always going to be a demand for USD yield. And if you believe that BTC is going to have the performance of the S&P Index or more, then you'll always be able to swap BTC yield for USD yield and capture a spread. And if we can do that, then we can create performance, which is superior to and we can maintain a multiple of NAV. I tend to think that a very reasonable way to calculate the right BTC premium for the company would be to take the expected BTC yield and multiply it by a multiple of 10 to 20 -- so if we can generate 25% BTC yield, then 10x that would be a 250% premium to NAV and MNAV of 3.5, if you will. And if we can -- if you put a 20 multiple on it, you could find your way to a 500% premium to NAV. And so you look at all these things in their entirety and then you take into account the rate at which we raise capital and the spread at which we raised the capital, then all of those things give you a sense of how we outperform Bitcoin and how we grow the NAV. Let's go to the next section. One thing -- Yes. Let's go to the next page, sorry. Yes. What's our strategy to maximize shareholder value. Well, continuously adjust the rate and the mix of our BTC treasury operations. Based on market conditions, we're going to work the yield curve. When the yield curve is steep, we go to the far end of the yield curve and we do fixed income. When the yield curve is flat, we work all sides of the yield curve. And also, there's a function of how much demand is there in the market for every type of security we're selling. And then we're balancing near-term capture of BTC yield and gain with long-term BTC value creation. Yes. I mean I can maximize the yield in the gain this year, but I also going to look out over the next decade. And as you could see from my slides, 90% of the gain is going to be over the 10-year period that follows the transaction. So we're always balancing short term versus long term. Just like Amazon did that for 20 years. The goal is to drive up the stock price, to drive MSTR to the max and then to grow the company and reach its full potential. So we will support mNAV right? And we are seeking to drive it up over time. So when you look at the mNAV and you're wondering what are we thinking? Well, we're thinking we want it to go up, not down. We're never acting to hammer it down when the mNAV is expanding and when there's massive demand in the marketplace, then of course, we're looking to sell and convert that into a BTC gain, a BTC yield and BTC income and BTC value over time. So the best way, of course, for us to generate -- to support the mNAV is maximize intelligent leverage with Strike, with Strife and other fixed income instruments. We'll be educating the capital markets to build demand for every type of security we issue. So there's a lot of investor relations and education. We will work to attract capital, new forms of capital by creating innovative securities for new classes of investors. Strife is a new type of security. Strike is a new type of security. We have other ideas for new types of securities. Securities that would attract capital from global markets. attracting capital from Japan or Europe or Canada or other markets and also attract capital from other classes of investors, different types of investors that want a different risk return ball profile and yield profile. And so we have some flexibility there. We are going to create and share BTC credit metrics and models that can assist investors in valuing and assessing the risk of BTC collateralized credit instruments. And we are going to pursue credit ratings for our fixed income securities. So the credit side of this is really important because as you could see from my torque and my multiple calculations, the thing that will drive our outperformance that allows us to achieve a 2x BTC return or get mNAVs of 4, 5, 6, 8. If we want to drive that up, if we want to drive our performance up if we want 2x or 3x the volatility of BTC over time, then we need to develop the credit markets. And I've thrown a lot of metrics about you, and I've talked about a lot of things, and we have a lot of securities, but unless there be any confusion, MSTR the common equity that is, that's the principal metric for shareholder value creation and company performance. So if you're asking what is winning, weighing is maximizing the price of MSTR right? I mean if I have a choice of driving the price up by a factor of 10 and having mNAV be 3 or having the price go up by a factor of 2 and have mNAV be 6, I think that you would want me to drive the price up by a factor of 10, not a factor of 2. So we're always thinking about what is going to maximize MSTR, shareholder value creation, and we're balancing every other metric against it. Now I've talked about BTC credit, and that's important to our strategy. So why don't we go into a bit more detail on that? Because I think that's also very important. I'm going to share with you our BTC credit model and our credit analysis. So let's just start with a few important metrics. The BTC rating would be the amount of collateral we have versus in BTC divided by the liability. So we have $10 a bitcoin against a $1 liability. That would be a BTC rating of 10. And BTC risk is the probability of that liability, that debt instrument being under collateralized by BTC at the end of its term. I've got $10 a collateral. I got $1 bond or $1 of debt and it's 5 years and 5 years, am I still going to have the $1 to cover the liability. That's the risk. BTC credit that's the credit spread necessary to offset the risk for a given security. How much more credit spread, how much more yield do I need to be paid every year in order to offset that BTC risk that I'm thinking that exists. And the BTC credit hurdle, that is the BTC ARR necessary to create an investment-grade instrument? How bullish would you have to be on Bitcoin for you to look at this credit instrument and say this should be investment grade. And our proxy for investment grade is the 100 basis point credit spread just so you know. Now it turns out that, that credit model is driven by some forecast assumptions, what do you expect the ARR to be? What do you expect the volatility to be over time? And so now I'm going to show you how these play out in our capital structure. Let's go to the next slide. Here's BTC risk. Okay? What you can see is that -- if I actually asked the question, what is the risk of a 10x over-collateralized instrument? I have $10 a Bitcoin for every $1 IO. If the volatility is 70 right? You'll see it 16 basis points. There's a 0.16% probability you'll be under collateralized in a 1-year horizon. And of course, if you've only got $2 a bitcoin for every $1 of debt and you've got a 70 ball, there's a 26% BTC risk. So there's a zone high volatility, low BTC rating, where you're looking like junk. And there's another zone where you're looking like investment grade. Now let's take this and apply this to our capital structure. Can we change the slide? Okay. Well, Sorry. This is -- this is a bit more elaborate BTC risk matrix. What this is showing you is how the risk builds up over time. And so if you have a 5 -- a BTC rating of 5 and you get a 5-year bond, then that's -- and you've got a 50 wall that says that you've got a 19% BTC risk, a 19% risk of being under collateralized at the end of the 5 years. And you can see over 10 years, you're looking at a 41% risk. So risk will increase with higher vol, risk will increase with higher duration and risk will increase with lower BTC rating. Let's go to the next slide. This is our existing capital structure. So I'm showing you 8 fixed income instruments. Let's assume that you're a skeptic. You actually think that bitcoin is not going up. Bitcoin is going to trade 0% ARR for the next decade -- so you're I'll say skeptic, because I think if you thought Beclin was going to 0 tomorrow, you're not going to buy any of these instruments. But hardcore skeptic things, bitcoin is not going to perform like the S&P index. So if you actually calculate the BTC rating of these instruments, this is not hard. You can see the senior credit instruments as the 28 convert. It's 52x over collateralized. The next 1 is 13x overcollateralized. So now what's the most junior fixed income instrument, it would be Strike, which is 5.3x over collateralized. So what you can see is now what is the BTC risk? Well, the duration of the converts is short. So the duration of the 28 note is 2.4, that means the risk is literally 0%. And the credit spread, the BTC credit you would have to have to offset the risk is rounded down from 1 basis point, it's 0. So there is 0 likelihood a very, very small likelihood that we're not going to have $1 billion of bitcoin collateral to pay this note off in 2.4 years. That makes intuitive sense, right? You have to have a 98% drawdown on the Bitcoin. Now the question is what's the market credit spread? Well, the market thinks that, that's a 500 credit spread instrument. So the pricing of that is 500 credit spread market credit spread, the BTC credit rating is 0. That means the premium is 500 basis points. If we go to the 29 convert, what you can see is that the BTC credit calculation is 21 basis points for the skeptic, the market credit spread is 975 basis points. massive spread premium. If you go to the 2030, you could take the 48 basis point BTC credit compare it to the market credit spread of $1,075. So all down the line, what you see is for the converts. There are massive spread premiums the market credit spreads are actually at the level of distressed debt. A junk bond index is like 380, 400 basis points. This is double junk, triple junk. It's like the market thinks that the company is going to fail tomorrow, and it trades the credit like that. But in fact, even if you're a skeptic on Bitcoin, the BTC credit rating would be somewhere between 21 and 200 bps. Now you can see how you would rate the preferreds. They have a longer duration, 10 and 11 years, you would come up with a credit rating of 470 bps of your skeptic for Strife and 514 for strike of euroskeptic, there's still a substantial spread premium. Now if you're a credit investor, you might very well take the spread premium and think, well, if I can close the spread premium, I multiply that by the effective duration of the instrument, that's how much the instrument could trade up. There's an opportunity there. if these things get rated properly. Now let's look at the same capital structure if you're a bitcoin maxI, a maximalist. When you -- if you think bitcoin is going up 30% a year, look at the BTC risk. It's 0, 0, 0, 0, 0, 1%, 1%, 1%. And then the BTC credit spread or credit rating, it looks like 1 bp, 2 bps, 8 bps, 14, 13, 13. So this has a profound impact on your view of the preferred stocks, right? All of a sudden, the preferred stocks are looking like they're trading at a 600% spread premium because they're not that risky for a bitcoin believer. They're just trading at a massive credit spread. Maybe even more so for the convertible bonds, right? Now you're seeing 1,000 basis point spread premiums over what you might expect to be the risk. So this is an interesting opportunity for all sorts of investors, right, for equity investors, for fixed income investors, et cetera. Let's take this a little bit further. Next slide. This shows you BTC credit values across various classes of investors. So you see if you're a skeptic, you might think that the right BTC credit rating for the convert coming due 2032 is 238 basis points. But if you think the bitcoin is going to perform like the S&P Index, it becomes 100 basis points. If you're an investor and you think it's like a big tech stock, it becomes 40 basis points. And if you're a maximal list, it becomes 14. So you can see the credit risk and your view of the credit is very much a function of your view of bitcoin. And the difference is with the preferred stocks are equally strong. I've got the market credit spread. And then on the right, I've got a fascinating metric, BTC credit hurdle. We're going to make this very simple, right, which is how fast or how much does BTC have to go up in value each year over the next decade for this credit instrument to be deemed investment grade. Like what's it take for it to have a credit of less than 100 basis points a year to offset the risk. And what you can see is for the -- for 4 of the 6 converts, bitcoin could decrease, and it would still be investment grade by our BTC credit standards. And you can see that the 31 to 32, they would require just BTC to go up 10% a year, and they should be investment grade. And you can see that if you believe bitcoin is going up about 16% a year, then the preferreds are investment grade. And so it's a very, very interesting way to see the world when you acknowledge that BTC is collateral. Let's go to the next slide. Here's a nice graph. What you can see that as you move from skeptic to trader, all of these credit calculations, they fall below the junk grade threshold. Junk is 380 basis points right now. That's the index. And of course, once you get to like investor class, they're all looking investor grade, right? And so this is a view of BTC credit that you can use. Let's go to the next slide. Here, we calculated BTC credit across volatility. So bitcoin has traded with a volatility between 40 and 80 over the last 5 years. Recently, it's been in the 40 to 60 range. And so the real question is, at what point do these things not become investment grade if I'm a bitcoin maximalist, right? You could see like around 60%, 65% ball. And what point do they become junk? Well, they almost don't become junk, right? Next slide. The story is very different for the skeptic, right? If you're a skeptic, they stop being investment grade when bitcoin is more than 40 vol. And you can see they all cross junk around 50. So what you expect for volatility matters and what you expect for BTC ARR matters, but we think that these credit models are elucidating, especially for the crypto community and for -- the world is full of fixed income investors that like bitcoin. And so if you're a bitcoin maximalist or you're a bitcoin enthusiast, but you run a fixed income fund, a preferred stock fund, a convertible bond fund or a hedge fund, this all of a sudden starts to really make a difference to your thinking. So we go to the next slide. Here's the traditional credit ratings, and we're not credit rated. So I mentioned one of our interest is to get credit rating agencies to cover and to start to rate this credit. But you can see if you thought the BTC credit was 50 to 100 basis points, you could make a reasonable argument that this ought to be an AA-rated instrument or some of them could be AAA-rated instruments. And of course, what you can see right now is that the market treats them as less than CCC. They're just distressed debt. And so this is a massive opportunity. Next. There are 2 ways to see the world. If you think about credit ratings, most credit ratings are created for companies that borrowed money that they don't have. And so a company needs $1 billion, they don't have the $1 billion. They borrow $1 billion and they promise to pay it back by creating a future expectation of cash flows. And they say, we're going to generate $250 million of cash flow each year, EBITDA multiple is 4. And so the credit rating agency is literally handicapping the future expectation of cash flows, and they're greenlighting the lending of money to a borrower that doesn't have the money. There's another way to see the world, which is a company on the bitcoin standard, we already have the money. We have $50 billion of money we could liquidate tomorrow if we needed to, and we want to borrow $10 billion. And so if I have $5 for every dollar I want to borrow, I've already got the money. So the credit risk analysis isn't really a question of evaluating whether or not you'll generate the money in the future. It's really just evaluating whether you're going to lose the money you already have. And so there's a perverse irony here, which is that all of the credit instruments that MSTR has issued are overcollateralized by 5:1 or more. There isn't a single investment-grade company in the United States that is overcollateralized by even 3:1. That is to say our company has better collateral and our collateral position is stronger than any borrower that is rated by any credit agency in the United States. In fact, super investment grade might have 2x or 2 to 3x collateral coverage. But there's definitely a disruption coming in this market. There's a reason that all the borrowers don't have collateral. It's because either their treasury asset is short-dated sovereign debt. And of course, the yield on short-dated sovereign debt is much less than the cost of capital to borrow. So it makes no sense to hold that as collateral, right? Or their treasury asset is bitcoin, in which case, it totally makes sense to hold as collateral. But unless you're on the bitcoin standard, you won't have any collateral and you can't tap the credit markets being overcollateralized. So what we're really engaged in here is introducing the idea of BTC as collateral and collateral-backed lending. The idea of loaning money to someone who has collateral, it makes all the sense of the world if you're loaning to an individual or you're loaning to an institution. But -- and it happens all the time. If you're a JPMorgan or Citi and someone's got a large stock portfolio, you would loan to them based on that collateral. But it almost never happens with publicly traded companies because publicly traded companies don't hold security portfolios, and they don't hold them because of securities laws that prevent them from capitalizing on securities. So we have -- we are driving a new way to see the world. What happens if there's a bunch of public companies that have a bunch of collateral that's appreciating faster than the cost of capital and they want to borrow against it. In theory, it all ought to become investment grade if you're properly collateralized at the right ball and the right BTC rating. In practice, none of it is right now. This is a campaign of awareness that we'll be waging over time. Next slide. This is a great chart. You wonder about upside and downside. Well, when you buy our equity, you're getting 40% of the upside, 40% of the downside, 80% in the upside, 80% in the downside. It's just linear risk, upside, downside. And we've drawn that line. We've also calculated the delta and the downside of all of our convertible bonds and of strike. And what you can see right here is a lot of the converts, the 31, 32, 28 and 38, they're high delta instruments. They're giving you 80% to 100% of the upside of the MSTR common, but they're giving you less than that much downside. They're actually -- if you look at the 2030 convert for a simple example, you're getting 75% of the upside and 15%, 10%, 15% of the downside, right? If you look at the 29 convert, this is a fascinating one. It's about 60 delta. You're getting 60% of the upside and it trades below par, no downside, right? Unless the company defaults, you're going to get paid par. So it's got negative downside. You're getting a guaranteed yield to maturity and you're getting a 60 delta instrument. If you look at Strike, strike is trading below par. So below the liquidation preference below par, but with something like a 35% delta. So if you're an equity investor, these are all very compelling. You can construct a portfolio that's 100% upside, 50% downside or 100% upside, 60% downside or 100% upside, 25% downside. They are very interesting opportunities. Right now, the market is very inefficient, and the pricing of these is very inefficient because the market doesn't recognize BTC credit. There are a number of reasons why I'll get to in a second. But I invite all of you to think about these instruments because there are opportunities. Next. So key takeaways of fixed income. The credit markets are grounded in traditional finance practices and metrics. They have not yet embraced BTC as collateral. They have not adopted real-time risk management practices for BTC. You can calculate BTC risk, BTC credit every second as the price of bitcoin changes, as the BTC rating changes, as the volatility changes, you can update it every day as the duration of the credit instruments shrinks, right? So the traditional credit ratings are issued by an analyst once a year, and they go stale and they're opaque. And you can now create very transparent crypto credit metrics. The market is not there yet, but this is an opportunity. The reason the credit instruments trade with such wide credit spreads is because the markets are traditional. Most of our MSTR convert investors, they're arbitragers. They're not bitcoin investors. They're not equity investors. They're not bond investors. Basically, they're buying $100 million of the bonds, shorting $80 million of the stock. And so they're not bringing $100 million of capital to the bond. They're bringing much less capital. That's one of the reasons I believe that the bonds are valued the way they are valued. If we have long bitcoin investors, long MSTR investors or long fixed income investors or credit investors start to enter this space, then I think we're going to see those credit spreads and those spread premiums compress. The OTC market is one of the culprits. It's very inefficient. It's constrained. There are 144A regulations. And you have to be a qualified institutional buyer, and that means most retail and a lot of investors, they just -- they can't buy these or it's a pain to buy them. And so that impairs the bond value that impairs the liquidity as well, and that creates much wider credit spreads. Now I've laid out these BTC models. And so I believe that there are strong reasons to treat MSTR fixed income securities as investment grade, even though the market assigns credit spreads comparable to distressed debt. I think if you think about it, if people agree with me, if they agree with us and they like bitcoin, they'll start to view bitcoin not as a speculative asset, but as a safe haven asset and they'll start to view these instruments not as distressed debt, but as investment-grade debt. And so as the perceptions of BTC evolve from speculative asset to safe haven, which is massive discussion in the community all the time, it's reasonable to expect major credit rating agencies to begin rating the MSTR credit instruments. Just like we expect banks to embrace bitcoin, just like we expect insurance companies to embrace, just like the U.S. government, the state, the local, the city governments are embracing bitcoin. The credit rating industry is going to embrace bitcoin. It's just a question of when, which we can't be sure of. MSTR has the potential to issue investment-grade fixed income securities, and we could emerge as the world's first investment-grade bitcoin treasury company. right? I think this is a great opportunity for us. I don't think it's appreciated. But what happens if we get an investment grade, what happens if we're able to get our credit instruments rated, there will be new pools of capital will be incorporated in new indexes, new classes of investors will be able to buy these things. That capital will flow into our securities then into bitcoin. It will be beneficial to BTC, to MSTR, to all of our fixed income and credit securities, and it will be beneficial to all the investors. Why? Because if you're an investor that appreciates the value of bitcoin, then those securities we're selling will offer a superior yield and better performance. I think we showed you our convertible bonds are outperforming the other converts. They're outperforming the junk bonds. They're outperforming investment-grade bonds. The -- our preferreds are outperforming other preferreds. It's not complicated. If you pay higher yield or give higher performance and if you can show people that you have comparable credit risk or lower credit risk, then you're going to create demand for capital, right? So if you believe in bitcoin, if you're bitcoin Maxi, then those securities do offer superior yield and superior performance and they do offer substantially lower credit risk in your point of view because you believe bitcoin is good collateral. And so that's an interest -- it's a very important message. It's an important opportunity for us. So -- on the next slide. I've taken up a lot of your time today. I appreciate it. I appreciate all of your attention. And I'm pretty much nearing the end here, and I'll end with a call to action for all of you and for every interested investor, potential investor, anyone that's interested in Bitcoin or MSTR or if you simply are an interested investor in making the right decision. What would I suggest? I think our investors should contact Moody's, S&P and Fitch. If you own our equity, if you own our debt, if you own our preferreds, you should call these credit rating agencies or any other credit rating agency, talk to your representative and request that they begin to cover and rate these instruments. Everybody will benefit. When I say everybody, I mean the entire 400 million people that like crypto, everyone that owns bitcoin, everyone that owns MSTR, all 55 million of our beneficiaries, everyone that owns the debt, the credit rating agencies will benefit, right? The fixed income investors will benefit and the world will benefit, right? This is just a good thing for the world. It's inevitable that the credit rating industry should embrace bitcoin and embrace this kind of lending. If you're an equity investor, I would suggest you consider -- take a hard look at the MSTR convertible bonds and strike. A lot of investors just have dismissed them out of hand because they're like, well, I just don't buy that or maybe they couldn't because it's over the counter or maybe it's new or different or they're just busy. But if you're going to buy equity with 100% of the upside and 100% of the downside, it makes sense that you should consider an instrument that might give you 60% of the upside and 10% or 0% or 5% of the downside, right? If you deem yourself to be smart in portfolio construction, there's a lot of very interesting portfolios that can be constructed when the market misprices risk and misprices exposure. And I think the equity investors could benefit from this because, in my opinion, the fixed income instruments are undervalued relative to the equity right now. If you're a fixed income investor, you're a preferred stock or a corporate bond investor or a convert investor, I would say you should reconsider these instruments. Think about them again. Think about them in -- along the lines of the BTC credit, the BTC risk we've laid out, build your own models. One of our objectives is, over time, we will go ahead and publish our BTC model to the world. We'll open source it. We'll make these things available. But the math here is not complicated. You could pretty much do a similar type of math that I've showed you using ChatGPT in deep research mode if you want to. Anybody with a Bloomberg can do it, any qualified quant can do it. I would encourage you to do it and think about how you feel about these things because in my opinion, the actual credit spreads represent a substantial premium to the BTC credit rating. And I think the BTC credit ratings are a valid way to see the world and to see the risk. If you're a retail or non-QIB investor where you're locked out of the convert market because of 144A restrictions, I think you should consider BMaX. BMaX is a very innovative ETF that gives -- that's constructed to provide or provide convert exposure to investors that aren't able or unwilling to buy the underlying convert. So look at instruments like that because I think the convertible bonds, especially the short duration convertible bonds, again, they're treated like distressed debt, but they've got very high deltas. And then my ask of all investors, every Meta watcher, every Bitcoiners educate your peers on the opportunities presented by bitcoin, talk about bitcoin and then talk to them about BTC equity and BTC credit. They're sophisticated subjects, as you can tell by this elaborate many tutorial I've given you. Most people don't understand them, but it's in your interest to educate other investors in the benefit of bitcoin. It's in your interest to explain the nuances in the MSTR equity opportunity. And if you're holding our convertible bonds, if you're holding these preferreds and you talk to someone that actually makes investment in fixed income, if you introduce them this opportunity, it's good for them. It's good for bitcoin. It's good for the world. It's good for you. It's good for the common stock. There are no losers. So we're basically in education mode here. Let me -- these aren't my opinions. I will note that you can form your own opinions, but I think there's plenty of reason to think that there are reasonable opinions. So we go to the last slide. I just want to end with our principles. We presented these October 30 last year. And they're just as valid today. Just to remind everybody, our plan is buy and hold BTC indefinitely, prioritize the MSTR common stock, treat all investors with respect, consistency and transparency, structure our company to outperform BTC. We're working to create more vol, more leverage than BTC keep acquiring bitcoin, generate positive BTC yield, do this as rapidly and responsibly as we can, subject to market dynamics, and they literally change every day. You know that. We will issue innovative securities backed by BTC from time to time if we think there's a market need for them. We'll think hard about it before we do it. When we do things, we try to make sure they're not just accretive, but they're also structurally responsible and durable and scalable. We're going to protect the balance sheet. We want a pristine balance sheet. And finally, we're going to promote global adoption of BTC as a treasury reserve asset. So with that, I want to thank you for your time. I really do appreciate it. I know this went long, but hopefully, we gave you a lot of food for thought. For many of you, I'm looking forward to seeing you in Orlando next week. We're going to go into deeper details, and I'm sure there'll be a lot of questions, and we're going to answer a lot of questions, and we're going to have a lot of other bitcoin treasury companies there. And we will continue with our strategy to educate the market and build a very healthy BTC ecosystem for everyone involved. So thank you for your support and wishing you the best.
Shirish Jajodia : Thank you, Michael for the very insightful session today. I know we went a lot over the original 1-hour mark, but we'll take 3 quick questions here, and I'll begin with the first one for Andrew. So now that you have adopted the fair value accounting, how do you feel about the big swings in earnings as a result of the bitcoin price volatility?
Andrew Kang: Sure. Thanks, Shirish. I guess, first off, the fair value accounting, even with the swings is far more transparent for our investors and more accurately reflects the true value of our bitcoin holdings versus the previous accounting rules. So certainly a win for us and other companies adopting bitcoin. The old accounting was, in many ways, a barrier I feel like -- but with that hurdle gone, we should continue to see a steady stream of new corporate adopters of bitcoin as a treasury asset. So the transparency, I think, is vitally important. So how do we feel about the swings? We, of course, like the positive swings more than the negative swings. But the reality is that bitcoin is volatile. So I think overall, I think we're unfazed by the downswings and believe over time, there will be more upswings. As I noted earlier, my 95,000 bitcoin price example would reflect a $6.7 billion gain. Right now, bitcoin is trading closer to 96.5. So today, we're the end of the quarter and that were the price for -- if that were the price at the end of the quarter, our unrealized gain would be closer to something like $7.6 billion in gain in a single quarter. So I think in the long term, we all believe bitcoin price is going to go up. And over that same long term, our reported gains will reflect that same trend in our overall earnings.
Shirish Jajodia : Great. Thanks, Andrew. The next one is for Michael. What are your thoughts on the recent MSTR playbook adoptions from other companies? And how does the company plan to sustain its leading role?
Michael Saylor: I think it's a very virtuous cycle, and it's a mutually beneficial competition. The more companies that adopt the bitcoin standard, the more legitimizing it is. As more companies adopt the bitcoin standard, they're out there educating equity investors, and that brings more equity capital to the market. As they start to issue credit instruments, they will educate fixed income investors and credit investors that brings new capital to the market. There's only 450 Bitcoin a day. And so as we're all buying that bitcoin, the price of bitcoin is stabilized, supported and then driven up. And 99.9% of the capital in the world is invested in the traditional fiat physical financial economy. We're just at 1% or 0.1%. And if it grows from 0.1% to 1%, then the advantages of accelerating institutional adoption are profound, and they offset any possible competition for capital. I also think each capital market needs its own set of BTC companies. In France, you need a local French company. You need a local company in Brazil. You need a local company in Japan. You need -- the U.S. market can absorb dozens and dozens of companies because there are so many ways to differentiate. And every company is going to have its own approach. And of course, a lot of investors, they say one incident or one data point is just a random point. And two -- two is a line maybe, but 3 is a trend, right? And so when you get to the point when there's 3, 4, 5, 6 companies, a lot of investors will be more comfortable investing in the space because they're going to want to limit their exposure to anyone to a certain risk responsibility in their portfolio, but they're going to look for the next one, the next one. So I think the more companies that join, the better it is for bitcoin, the better it is for the companies in the space. And they're really going to accelerate the transition to the bitcoin standard such that the companies that don't join will find themselves pressured to join over time.
Shirish Jajodia : Great. And the last one here for Phong. Can you please update us on the pace of capital raises under the 40 -- 42 plan? -- and how you're thinking about striking the right balance between equity capital and the fixed income capital going forward? And how do you think about the impact of dilution from another $21 billion equity?
Phong Le: Well, I'll start with -- I think that's the big question that we spent the last 2 hours addressing, right? And we have conviction in our capital raises and adding to our capital plan, and we talked about that. But you have to start with why did we lay out a BTC financial framework because the existing fiat financial framework doesn't work for BTC, right? So dilution, our BTC KPIs we look at things on a BTC yield, BTC per share, BTC gain basis. And I think you saw in Mike's presentation, every single capital raise we've done via our ATM, if you look at our strategy.com website, has been accretive on a BTC yield and a BTC per share and a BTC gain basis. And so if we issue ATM or equity at greater than 1x NAV, all other things being equal, that's accretive and it's not dilutive to shareholders. That said, if you look at our fixed income instruments, those are even more accretive when you look at BTC yield, all else being equal. But we need that fixed income market to become more mature and more efficient. As NAV rises, the yield curve starts to flatten and issuing equity starts to look more and more like issuing fixed income. And fixed income instruments do require more BTC ARR to get positive income. But I think the ask and for all of us who are interested in Bitcoin is we need to develop and make that market for fixed income more efficient. And that's an opportunity for strategy and that's an opportunity for bitcoin. It's not lost on us that we pushed the ATM more heavily than we pushed fixed income, but the market for fixed income is actually larger than the market for equity. So it's incumbent upon us, Bitcoin folks to make the fixed income market become more efficient. We're going to work on that. And as that happens, we're going to continue to issue equity, issue debt, and we're going to do it in a way that's accretive to our shareholders. So I think it will -- the more everyone processes the last couple of hours, they'll start to understand the BTC financial framework and they'll understand how we at strategy think about what we're doing to raise capital.
Shirish Jajodia : Excellent. I think that brings us to the end of this webinar. So any final remarks from Phong?
Phong Le: Yes. I want to share with Mike and Andrew and Shirish, thanks for everybody for sitting through and understanding more about how we think about bitcoin and think about strategy over the last 2 hours and 10 minutes. We appreciate all of your support. For those who will be in Orlando next week, very excited to meet and interact with all of you. Those who won't, we'll talk to you again in 12 weeks or so. Thanks, and have a good evening.
End of Q&A: